Operator: Good morning and welcome to the PG&E Corporation first quarter earnings conference call. At this time, I would like to introduce your host, Gabe Togneri, with PG&E. Thank you and have a good conference. You may proceed, Mr. Togneri.
Gabriel B. Togneri: Good morning, everyone. We issued our earnings release earlier today and as usual, it’s posted on our website along with all the supplemental tables, including the regulation G reconciliations. The same information can also be found in an 8-K report furnished to the SEC and we will also be filing our joint Form 10-Q report for PG&E Corporation and Pacific Gas and Electric Company today. A replay of this conference call will be available from our website after the call. Our prepared remarks and the Q&A session to follow contain forward-looking statements based on assumptions and expectations reflecting information currently available to management. As we discuss in more detail in our press release and SEC reports, actual results may differ materially from those forward-looking statements. Important factors that we want to make sure to point out to you that may affect our actual results are described in the reports we file with the SEC. Those factors include the risk factors and other factors described in our annual report on Form 10-K for the year ended December 31, 2008, and our Form 10-Q reports. Leading the discussion today will be Peter Darbee, Chairman, CEO, and President of PG&E Corporation, and Chris Johns, Senior Vice President and CFO of the corporation. Jack Keenan, our Chief Operating Officer at the utility and other key members of the team are also here and will participate as appropriate in the Q&A session. And with that, I will turn things over to Peter Darbee.
Peter A. Darbee: Thank you, Gabe and thank you all for joining us today. In February, at our investor conference, we outlined the investment case for PG&E which we believe is very compelling. As you will recall, we emphasized our substantial capital expenditure plans, our manageable financing requirements, the benefits of decoupled revenues, our ability to pass through procurement costs, an 11.45% weighted average ROE, tied to an automatic adjustment in mechanism and a strong environmental profile. We believe this gives us a very solid foundation for growth, for the growth trajectory reflected in our guidance. As you can see from the results posted earlier this morning, we are reporting first quarter earnings from operations of $0.66 per share. This compares to $0.62 per share a year ago. Our results this quarter show a 6.5% growth over last year, which is a solid accomplishment in this challenging economy. We remain on track to reach our financial and operational targets for the year. Chris will provide you with a more detailed look at our first quarter results in a few moments. In the meantime, I want to underscore that we are reaffirming our guidance for 2009 through 2011, and remain confident in our ability to meet it. I would like to highlight some notable operational achievements for the first quarter. We completed the second and final installment of steam generator replacements at unit one of our Diablo Canyon nuclear power plant in 58 days. That’s 11 days faster than last year at unit two. This impressive result was not only ahead of schedule but was also done safely and the unit is now operating at full power. We also reached a milestone with respect to the installation of our 2.3 millionth smart meter in April, making ours the largest smart meter deployment in the U.S. And with the commission’s approval of our smart meter upgrade, we have significantly ramped up installations to over 10,000 per day and are on track to have 4.5 million meters installed by year-end. The new meters have been performing well. We expect to complete this project on time and on budget and provide the customer an operational benefits that we promised. On a different front, the California ISO has recently implemented MRTU -- that is the market redesign and technology upgrade, after several years of work and with the active involvement of PG&E and the other California utilities. The new day ahead power scheduling system has more safeguards than the old system. The MRTU implementation, which launched on April 1, has been smooth so far. Demand and system usage will increase during the summer and we are working closely with the ISO, so that the market continues to operate smoothly. Now I am going to turn it over to Chris for a more detailed look at our financial results, as well as an update on regulatory matters, so Chris.
Christopher P. Johns: Thank you, Peter. For the first quarter, PG&E Corporation earned $246 million, or $0.66 per diluted common share in earnings from operations. On a GAAP basis, we earned $241 million, or $0.65 per diluted common share. This compares to $224 million, or $0.62 per diluted share, for the first quarter of 2008 on both a GAAP and a non-GAAP basis. For earnings from operations, the quarter’s results reflect a couple of increases over last year’s first quarter. First, there was an increase of $0.07 per share relative to 2008 as a result of revenues associated with higher authorized rate base investment. This comes from the increase in our [CPUC] authorized revenues, as well as our FIRC authorized transmission revenues. The second item related to our storm experience. In the first quarter of this year, we did not experience a repeat of last year’s severe winter storms. This adds back approximately $0.07 in the comparison. Now, partially offsetting these two increases were a series of small items. First, we had a $0.02 impact from increased uncollectibles expense this quarter. This is a reflection of the current State of California’s economy, which has seen record job losses and foreclosures compared to the first quarter of last year. Although the amount of uncollectibles is significantly higher than the first quarter of last year, it is still generally in line with what we anticipate for 2009. Second, we had an increase in shares outstanding, which accounts for a $0.02 decrease in EPS quarter over quarter. This came from higher than normal activity in our 401K and drip programs, resulting in almost $100 million of cash in the first quarter alone. As a reminder, we generally anticipate $100 million to $200 million of cash from these programs on an annual basis. Third, the Diablo Canyon refueling outage accounted for a $0.01 decrease in quarter over quarter results. While the overall outage was shorter than last year’s, it occurred entirely in the first quarter, while last year’s outage spread across both first and second quarters. The fourth item relates to severance costs. During the first quarter, we consolidated some of our facilities and the related severance accounts for an additional penny of expense in the quarter. Finally, we are also showing a $0.04 negative impact from a number of miscellaneous items -- about half of those items relate to market driven valuation of our non-pension benefits, such as our long-term disability and post-retirement medical trusts. These trusts rely on stock market performance to match their projected liabilities. As Peter indicated, we are reaffirming our guidance for 2009, 2010, and 2011. Our operational plans are on track and we continue to remain on budget on our major capital projects. Some of the items that negatively impacted the quarter are timing in nature. For example, although we had planned for severance costs at this level during the year, as we improve our processes and operations, we were able to take advantage of consolidating some facilities and incurred the majority of our planned severance during the first quarter. This will enable us to recognize the benefits of the changes earlier than originally planned. With respect to the impact of share dilution, this is actually a positive for us. It provides us cash earlier than originally planned and provides us greater flexibility in managing our capital structure throughout the year. The remaining items that I discussed previously, such as the uncollectibles and the non-pension benefit trust, are items that we are taking actions to help mitigate or offset their impacts going forward. For example, as to our uncollectibles, we are increasing the credit analysis of our major accounts in requiring additional security where needed. We are also reducing our collection cycle time to be in line with the regulatory tariff, thus reducing our exposure to bad debt. And we are reaching out to our affected customers to educate them on current payment assistant programs and investigating new programs to enhance our customers’ ability to meet their payment requirements. We believe these actions will prevent uncollectible losses from increasing substantially in excess of our forecasts. With our non-pension benefit trusts, we are currently reviewing the asset allocations in these trusts to see if a different portfolio structure makes sense for us. However, based upon the increase in the market in April, we’ve already seen the value of these trusts substantially return to their beginning of year levels. These considerations, together with increased productivity and some routine belt-tightening, will keep us on course for the year. We also anticipate other current factors will provide offsets to some of the items I just discussed. For instance, we will begin to see the positive impacts to our cash flow bonus depreciation later this year, resulting in lower financing needs than we otherwise had expected. And, because of the favorable rates we obtained in our March financing, we expect to see interest expense to come in a little lower than we had originally anticipated for the year. Speaking of those March financings, at the investor conference, I told you that we had planned to be opportunistic and increase the size if rates were favorable. We were able to increase both of our offerings in March. As a utility, we issued $550 million of 30-year debt at a rate of 6.25%. As a holding company, our initial five-year offering was increased from $250 million to $350 million, at a rate of 5.75%. The combination of these financings puts us in a strong liquidity position during this continued economic downturn and enables us to continue with our capital expenditure program and provides the infrastructure and the reliability that our customers expect. Moving on to the regulatory update, we received a positive decision in the smart meter upgrade filing, as Peter mentioned. This authorizes us to spend an additional $467 million over the next several years to install the enhanced smart meters, of which about $400 million is capital. In addition, we are continuing to work with the CPUC regarding the CEE incentive revenues. There, the goal is to develop a more streamlined process for both the rest of the 2006 to 2008 cycle, and the 2009 to 2011 cycle. In our cornerstone filing, we received a scoping memo from the assigned administrative law judge that calls for a proposed decision by year-end. Proceedings have started on this application. On April 20th, we requested that FIRC approve an uncontested settlement for our TO-11 case. The settlement proposes a $776 million annual revenue requirement, which is about $58 million higher than our current revenue requirement. We expect a final decision on this in the third quarter of this year. And finally, also in April, we received a decision in the hydro divestiture case, for recovery of approximately $47 million. This decision will be reflected in our second quarter results as an item impacting comparability. Now, I will turn it back over to Peter for his concluding remarks.
Peter A. Darbee: Thanks, Chris. Looking ahead, we remain focused on our key goals of operational excellence, safe and reliable service for all of our customers, and continued progress towards our goal of being the leading utility. I want to close with some comments on a few key areas that round out our vision, including some recognition that we were proud to receive. We were named one of the top 10 companies for supplier diversity by Diversity Inc. Supplier diversity is a major priority for us and for our regulators. This award demonstrates our commitment to help small and local businesses grow and we think this is critical for the California economy. We were also named one of the top 100 companies for corporate responsibility by CRO Magazine. This award acknowledges our commitment to employee relations as well as corporate governance. But I especially take pride in the acknowledgement of our commitment and our employee’s commitment to community service, environmental leadership, and climate change. On that last topic, I would like to discuss the action we are seeing on climate change in the new congress. The most significant step just far has been the release of the discussion draft by Chairman Waxman and Markie. We believe that this creates a solid starting point. Importantly, many key aspects of it are aligned with the blueprint we helped develop as a member of the U.S. climate action partnership, or U.S. CAP. Most significant, it calls for a CAP [trade] approach, which we support. It also includes a measure to promote technology development and to help create a smooth transition for customers. We look forward to working with Chairman Waxman and Markie to continue refining certain provisions. PG&E will continue to emphasize the importance of returning the value of emission allowances back to utility customers, and this is a vital component of any effort to contain costs. We will also look to ensure that the cost containment and offset provisions are robust and will help customers and businesses. As we’ve said before, we believe PG&E is well-prepared to thrive in a lower carbon environment. We look forward to extending our leadership in this arena and now we will open it up for your questions.
Operator: (Operator Instructions) Our first question comes from the line of Michael Lapides with Goldman Sachs. Please proceed.
Michael Lapides - Goldman Sachs: …large scale potential projects that are down the road, can you give kind of an update on the regulatory process going forward for bringing transmission down from Western Canada? And can you talk a little bit about pipeline coming down from [Jordan Cove]?
Peter A. Darbee: Sure. Let me take a crack at it -- first with respect to the British Columbia transmission line, where we stand in that respect is the commission has authorized the expenditure of I believe the number was $14 million, approximately, for us to study this issue, and where we stand in that respect is that we have been working with the other utilities to identify the specific geography as to where the line would be located. And so we’ve engaged in discussions with them, we’ve also engaged with respect to the counter-parties in Canada, both on the transmission side and to some extent on the generation side. What we need to do is finalize our plans in that regard and complete the study that will identify the costs and other issues, and then presumably we would submit that to the commission. But what I do want to emphasize is the commencement of this project, assuming all of the hurdles between the cooperation and agreement on the Canadian side, the cooperation of the utilities in the United States, and then here in California. Assuming that we hit all of that, the commencement of the construction would be really at the far end of the guidance period, and so very little if any, I don’t believe any expenditures are included in our guidance for that. In terms of approvals, I am going to ask Chris if he would sort of expand on what I have to say but presumably we complete that study, we would outline the detailed plans for this to the commission, and they would either agree to a next phase or ultimately we would present the total plan to them and request their approval. Then we are going to need the approvals of the states in between and their PUCs, FIRC approval, the ISO was involved in the process, and we will need the cooperation agreement of the British Columbian Government.
Christopher P. Johns: That’s correct, Peter.
Peter A. Darbee: Okay, so there are quite a number of hurdles. That’s why we’ve sort of put this as something at the far end. Now let me turn to the Pacific connector situation -- we have -- they have filed their application with the FIRC. They are moving towards the latter stages of that process. There had been environmental filings associated with that, and I think really the key issue has to do with lining up the contracts for LNG, because this project will only move forward if the partners are able to line up product to move through that pipeline. In addition to that, there is some local permitting that has to be completed up in Oregon in the area of [Cuz] Bay.
Michael Lapides - Goldman Sachs: Okay. Can you also, in terms of thinking about transmission, what is your view on the various bills, whether it’s by Senator Reid or Senator Dorgan or even Senator Bingaman, about changing federal versus state authority on citing and permitting transmission, and how you think this A, plays out, and B, whether it has any impact on PG&E over the next three to five years?
Peter A. Darbee: Okay. As we have discussed, building transmission is a very difficult process and typically takes about eight to 10 years from the time you start moving forward with an effort to the time it gets completed. I think our fellow utilities to the south agree that the transmission hurdles are just really pretty extraordinary. And that’s been a view that has been voiced across the United States, so there’s been a substantial effort to try and see if we can change the citing rules with respect to electric transmission and the model that many people have pointed to is pipeline, the pipeline model. And if we can move in that direction. Now, what I would say is I think there are a lot of people from the industry who would say we really ought to make that move and if the transmission is going to be built, that’s what we need. And it’s so important that it be built to support the renewable portfolios. So I think the FIRC is warmly receiving that point of view but what will ultimately come down is an issue of states’ rights and the states have a lot of say on it now and so it’s a bit of a tug of war between federalism and states rights, and that’s a tough one to call as to what the outcome of that debate will be. But clearly if we need to -- if we are going to make the progress we need on renewables and electric transmission that is necessary for this country, we’ll have to move to a model more like the gas transmission model.
Michael Lapides - Goldman Sachs: Got it. Okay, thank you. Much appreciated.
Operator: Your next question comes from the line of Emily Christy with RBC Capital Markets.
Emily Christy - RBC Capital Markets: Good morning. Just a couple of clarifications on the quarter, I know for the miscellaneous items, I think you said that about half of that was kind of market-base driven. Can you give anymore color as to what the other half, the other $0.01 or $0.02 relates to?
Christopher P. Johns: I will tell you, it’s really a bunch of very, very small things that when we look at it, maybe spending in some of the various parts of the business but none of them generated up to a number that makes it easy to break out separately. As I said, half of it is all the stuff on some of our benefit trusts but the other ones are all very small things that related to just spending in various parts of the business.
Emily Christy - RBC Capital Markets: Okay. And in terms of the uncollectible expenses, now you are able to recover that in your next rate case, is that correct?
Christopher P. Johns: The way it works is as we go through a rate case, they allow as part of the revenue requirement a certain amount of money for -- to recognize the amount of uncollectibles that we have, so each time we go in, we will get a new number based on the history that’s been out there and the projections as to what it will be. We don’t get to collect anything from previous uncollectibles, so to the extent that we have uncollectibles this year or last year in excess of what was in our rates, that’s a number that we have to work with and offset through our operations.
Emily Christy - RBC Capital Markets: Okay and do you have a cumulative impact over the last couple of years as to what that total might be?
Christopher P. Johns: As to the total of what?
Emily Christy - RBC Capital Markets: In terms of the delta between what you actually incurred in bad debt and what was forecasted in the last rate case.
Christopher P. Johns: Yeah, I think last year it was somewhere a little bit over $30 million more than what was included in our rates. This year, so far it’s -- I don’t know, about $15 million to $20 million we’ve seen. And again, last year we saw most of that come in the third and fourth quarter because of the economic downturn.
Emily Christy - RBC Capital Markets: Right. Okay, thank you very much.
Operator: Your next question comes from the line of Jonathan Arnold with Merrill Lynch.
Jonathan Arnold - Merrill Lynch: Good morning. I wanted to ask about the sort of broader renewables filing that you had talked about at the analyst meeting, to follow-up on some of the more specific filings that you have made. Any further thoughts around timing of that or the nature of it?
Peter A. Darbee: Just for the benefit of the larger audience, so we have made one filing already which is to some extent similar to what Edison and Sempra have done, so this would be for photovoltaics on land that we own and maybe at our substations and places of that nature. I did discuss the idea of a broader filing that would lay out a broader strategy where we might invest sort of opportunistically but also in places where counter parties were running into financing difficulties. After strategizing with our team and some other parties, I’ll leave it at that. The conclusion was the optimal way to approach this would be to bring specific contracts to the commission. So in other words, rather than file a big, broad strategic plan that many people might have difficulty with, is take specific deals to the commission if we are able to negotiate them and get their approval on it. And so that’s the tack that we are currently on. We are looking at different investment alternatives. What I have asked our team to do is to look at all the contracts, the counter parties that we’ve been dealing with in contracts, to prioritize them relative to a set of criteria and basically develop a list from lowest risk for PG&E to highest risk, and then for us to evaluate are there investment opportunities among the lowest risk for us to participate? One of the criteria also would be is the contract in jeopardy and is it a large contract and therefore by providing our financing, it would help us in a significant way towards ensuring compliance for the 2010 and after period.
Jonathan Arnold - Merrill Lynch: Peter, if I could just clarify -- are you referring to say contracts that you already have with a developer that you might then seek to shore up, effectively? Or are you talking about projects that you might not necessarily be involved with currently?
Peter A. Darbee: What I would say, Jonathan, is either contracts that we currently have or ones where we’ve been negotiating with third parties to bring in and have for some period of time. So we’ve been sort of working on seeing how we could bring a meaningful number of more megawatts online in that post 2010 period.
Jonathan Arnold - Merrill Lynch: May I ask one other on a different topic? I believe I heard correctly but -- that you did $96 million of [drip] equity in the first quarter? How should we think about how you will handle that -- I mean, if you continue to see numbers come in above plan, are you going to hold to this 100 to 200 for the year, or would you let it run higher than that if it so happened?
Christopher P. Johns: You know, we would have to look at what the forecast looks like and obviously what kind of cash we see currently coming out of them. On the one hand, what we would want to balance is what’s the impact on the -- on net income but also then what is the impact on our future equity needs and our future financing flexibility. So when I look at this economic situation that we are in now with the downturn, I still continue to focus on it’s good to have the cash and the more liquidity we can get, the better off we are. So I would tend to lean towards keeping it and continuing to build that up, because it does -- it impacts the amount of equity we would need not only this year but into the future. Having said that, obviously we will always measure that against what’s the impact on the earnings this year and into the future and we have to take that into consideration and as you know, we always have the ability to stop those programs, if we need to.
Jonathan Arnold - Merrill Lynch: Thank you very much.
Operator: Your next question comes from the line of [Videla Marti] with [CDP] U.S. Please proceed.
Videla Marti - CDP U.S.: Good morning. Just to follow-up on Jonathon’s question with the drip running ahead now of plan and with economic turndown, I am wondering whether the bias now between the low case and the high case with regard to capital expenditures is now biased more towards the low case at this point for the out years? And secondarily, when you look at the equity requirements beyond drip, the 675 to 750 that you highlighted at your analyst conference, whether given the acceleration on the drip at this point, whether that’s now more a 2010, 2011 event and may well be towards the low end, if not perhaps a little less than that.
Peter A. Darbee: When I look at it, I don’t know that I would automatically say that because we got $100 million in the first quarter, you would multiply that by four and say that we are going to well exceed the $100 million to $200 million of proceeds from drip in this year. You know, I mean those can tend to be reflective of what’s happening in the economy at the time versus anything else. So I don’t know exactly how much we’ll get into that, but as I was saying in the previous response, one of the things that we would look at before we would even consider whether we would keep that running or not is what does that do to our equity needs beyond 2009? And to the extent that we want to, we could utilize that cash to continue to push out equity needs in 2010 and ’11, as we look at it and be opportunistic about that. We know that people have told us many times they generally prefer us not to have to go out and do a big equity trade, and so to the extent that we can get cash in through this method, we may utilize that. As far as the timing of our capital expenditures and the amount that I think you said at the first part, you know, we are still sticking with the schedule that we have and our capital plans haven’t changed, and so I would say we continue to do those things. As you saw, we got the automated meter upgrade approved and so we are moving full steam ahead with that capital expenditure and we will continue to look at what opportunities we have to push towards the upper end of our forecast that we gave you in late February.
Videla Marti - CDP U.S.: So with the automated meter reading program, if we are looking at 2011, between 3.3 and 4.8, would you say that -- I’m just wondering where within that range our bias should be. We understand it is quite fluid but if you were thinking about it today, where do you think -- where would you tend to think it would fall?
Peter A. Darbee: We’re not going to really provide something other than we’ve got the high and the lows out there and we’ve reaffirmed our guidance and so we’ve given you what was included in the low case, what was included in the high case, and all we can do is tell you that when we add something, we tell you about it and you guys can figure out where you want to put us in that range.
Videla Marti - CDP U.S.: All right. Thank you very much.
Peter A. Darbee: The other thing I would add is with the 401K program, we have the ability to [inaudible] the amount of equity we are bringing into the company, and that is how much in terms of new equity do we issue at the end of the program, or do we go out and conduct open market purchases to buy equity to fund the 401K program. So to the extent that we were running over and we had more equity than we thought was appropriate given management of EPS, we do have that tool and it is pretty easy to use in a very flexible fashion.
Videla Marti - CDP U.S.: Okay. Thank you very much.
Operator: Your next question comes from the line of Travis Miller with Morningstar.
Travis Miller - Morningstar: Good morning. I see on your details of the customers and usage, customer accounts look like it was up pretty -- what, a percent or so, and yet the usage was down 6% or so. How much of that was weather and how much some other dynamics in the market that you are seeing there?
Peter A. Darbee: As a reminder, just so you know, you are right -- if you are looking at pure sales, weather will impact the sales. It won’t impact the revenues because of the decoupling, and I just want to remind people of that. I am going to turn it over to Stephen Cairns, our controller, to talk a little bit more about why you see the fluctuation that you see in the first quarter.
Stephen J. Cairns:  The main driver was a lower number of meter read days during the quarter. During quarter one ’09, we had 60 read days, whereas in the previous year, we had 65.
Travis Miller - Morningstar: Okay.
Peter A. Darbee: And so when we have looked at it and weather adjusted, our sales are basically flat year over year.
Travis Miller - Morningstar: Okay. And then when do you collect that cash, again through the decoupling? Remind me?
Peter A. Darbee: Well, if you think about it, we collect cash on the approved revenues pretty much equally throughout the year. And then what we will do is we will either book a receivable or a payable if we’ve over or under-collected based on the actuals. So to the extent that we see demand going up and we are actually collecting more, we collect that cash right away. We’ll have to pay it back later. To the extent that we see say sales drop and we are not collecting cash as much as we would have, you know, we put that into a receivable. And as long as it doesn’t get to more than a couple hundred million dollars, we end up collecting that the following year. But we do have the ability to, if it gets too big, to go in and file for a change in rates.
Travis Miller - Morningstar: Okay, an annual adjustment?
Peter A. Darbee: Yeah.
Travis Miller - Morningstar: Okay, great. Thanks a lot.
Operator: (Operator Instructions) We have a follow-up question from Michael Lapides with Goldman Sachs.
Michael Lapides - Goldman Sachs: Just can you all refresh us in terms of the California commission and rate cases? And really this isn't really for a TRC but for review -- any potential time when they might review the cost of capital mechanism, given changes in the bond interest rates for the Moodies bond? The capital structure piece, do they look through to the parent or will they look just at PG&E's capital structure if the bond yield made that greater than 100 basis point move and therefore they had a chance to look at what the appropriate ROE level is?
Christopher P. Johns: First of all, as you know, we have put in a new mechanism in 2008 and so that mechanism stays in place through the end of 2010, and so there isn't another formal rate case like hearing or cost of capital hearing until the 2010 timeframe or 2011. There is the automatic adjustment mechanism and that calls for an advice filing, which is not the same thing as a normal cost of capital hearing, which involves all the witnesses and testimony and legal process. The advice filing is just where we will just file and say based on this mechanism, here’s what it says we should or should not get. To your question of when we actually go through a formal cost of capital proceeding, which is when they would have the ability to adjust the equity ratio, which right now they wouldn’t and in these advice filings they wouldn’t. At that point in time, you know, they will look at the risks and such but it is focused on PG&E the utility, not PG&E consolidated or the holding company. It is focused on the utility.
Michael Lapides - Goldman Sachs: Okay but when you -- I guess, Mike, and I apologize -- let me see if I can rephrase. If there is an advice filing process because the bond yield may look greater than a hundred basis point move, do they only look at the out ROE or authorized ROE, or will they also -- do they have the opportunity to evaluate the capital structure at the same time or is the capital structure solely dealt with in the 2010 cost of capital proceedings, or 2011?
Peter A. Darbee: Thanks, Michael, I’m sorry -- it is only on ROE. The capital structure stays in place through the end of 2010. The advice filings don’t and aren’t looking at cap structure.
Michael Lapides - Goldman Sachs: Got it. Okay. Thank you.
Peter A. Darbee: And Michael, I might add that the debt of the holding company really relates back to the financial crisis. That’s when we initially put on the vast bulk of the debt of the holding company. And so that related to the national energy group issues and things of that nature.
Michael Lapides - Goldman Sachs: Right. Cool. Thank you, guys. Appreciate the clarity. 
Operator: Your next question comes from the line of Tom O’Neal with Green Arrow.
Tom O’Neal - Green Arrow: Good morning. Just curious if there’s a specific date on the timing of the generation RFO disclosure, just who the winning bidders are?
Christopher P. Johns: For the 2008, we would announce that sometime in the next few months.
Tom O’Neal - Green Arrow: You said next two months?
Christopher P. Johns: In the next few months.
Tom O’Neal - Green Arrow: Got it. Okay. Thank you.
Operator: There are currently no additional questions waiting from the phone lines.
Peter A. Darbee: All right -- in that case, I will just say we appreciate your interest in PG&E and have a great day.